Disclaimer*: This transcript is designed to be used alongside the freely available audio recording on this page. Timestamps within the transcript are designed to help you navigate the audio should the corresponding text be unclear. The machine-assisted output provided is partly edited and is designed as a guide.:
Operator: 00:02 Good afternoon, ladies and gentlemen. And welcome to the Evolution Petroleum Second Quarter Fiscal Year 2022 Earnings Release Conference Call. At this time, all participants have been placed on a listen-only mode, and we will open the floor for your questions and comments after the presentation. 00:17 It is now my pleasure to turn the floor over to your host, Ryan Stash. Sir, the floor is yours.
Ryan Stash: 00:22 Thank you and good afternoon, everyone. And welcome to Evolution Petroleum's earnings call for our second quarter of fiscal year 2022. I’m Ryan Stash, Chief Financial Officer. Joining me today is Jason Brown, President and Chief Executive Officer. After I cover the forward-looking statements, Jason will review key highlights along with our operational results. I will then return to provide a more in-depth financial review, and finally, Jason will provide some closing comments and details about our two recent acquisitions before we take your questions. 00:53 Please note that any statements and information provided today are time-sensitive and may not be accurate at a later date. Our discussion today will contain forward-looking statements of management's beliefs and assumptions based on currently available information. These forward-looking statements are subject to risks and uncertainties that are listed and described in our filings with the SEC. And actual results may differ materially from those expected. 01:15 Since detailed numbers are readily available to everyone in yesterday's earnings release, this call will primarily focus on our strategy, as well as key operational and financial results and how these affect us moving forward. Please note that this conference call is being recorded. If you wish to listen to a replay of today’s call, it will be available by going to the company’s website or via recorded replay until May 11, 2022. 01:38 Now, with that, I’ll turn over the call to Jason.
Jason Brown: 01:41 Thank you, Ryan. Good afternoon, everyone and thanks for joining us today on Evolution's second quarter fiscal 2022 earnings call. As Ryan mentioned, we will discuss our two recent acquisitions in the Williston Basin and Jonah Field after our financial results. We’ve posted a presentation on the front page of our website, if you would like to download it. In the meantime, I will use this slide deck to discuss our acquisitions in more detail. 02:09 We’ve been pretty busy since our last update in November. I’m happy to say that the team’s efforts have been fruitful for our shareholders. As always, we appreciate your continued interest in our company and welcome any questions that you might have regarding our business and recent acquisitions. 02:26 We were pleased with our overall results in the second quarter, which were highlighted by continued free cash flow generation. This supports our long-term strategy of operating, within cash flow and paying and ongoing meaningful cash dividend to shareholders. We’ve also continued our plans of expanding our geographic footprint for executing on targeted transactions that promote our ability to further increase our return of capital to shareholders. 02:53 In the last three weeks, we have announced two accretive acquisitions we believe will increase the longevity of our dividend payout program through the next decade. I will discuss the collective transformative nature of these transactions more during my closing comments. 03:11 For the second quarter of 2022, net income grew 31% to 6.8 million or $0.20 per diluted share from 5.2 million or $0.16 per diluted share in the previous quarter. We continue to benefit significantly from higher commodity prices as we are unhedged during the quarter, which resulted in an adjusted EBITDA of 10.2 million, which was 20% increase from the first quarter. 03:40 In addition, we were able to grow our cash position to 13.6 million at quarter-end, which was 71% higher than our cash balance at September 30, 2021. During the second quarter, we produced 4,957 nine BOE per day, which is down from 5,843 net BOE per day for the first quarter of fiscal 2022. 04:03 Included in our second quarter production results was a downward adjustment of approximately 400 net BOE per day, due to the production mix adjustments by the operator in the Barnett Shale to reject ethane and capitalize on the higher natural gas prices in the first and second quarters thereby improving cash flow generation. 04:22 Also, included in the second quarter production was the receipt of past royalties from accumulated over period of approximately three years associated with an overriding royalty interests owned in two wells located in the Giddings field in Burleson County, Texas. 04:38 Now let's look at our operating results in more detail. Net production in Delhi for the first quarter was 108,245 BOE or 1,177 BOE per day. That’s an 8% decrease compared to the prior quarter. Oil production in Delhi continues to be impacted by the nine-month suspension of CO2 purchases during the calendar 2020, due to repairs of the purchase supply line. 05:05 The results have been lower reservoir pressure and  who operates the field and owns and operate the CO2 repurchase line and has worked diligently to restore pre-2020 levels. I would note that CO2 purchase increased to approximately 100 million cubic feet per day in the second quarter, which is   the decline and restoring some of the reservoir pressure previously lost, also impacting Delhi production in fiscal 2022 second quarter was planned and unplanned compressor maintenance in November and December, that temporarily reduced daily production. 05:41 At Hamilton Dome, we saw a sequential quarter increase in net production of 2% to   or 413 barrels of oil per day. It's primarily due to continued restoration of previously shut-in wells and strategic adjustments to water injection locations and volumes. Our operating partner Merit remains focused on maintenance projects at Hamilton Dome. 06:06 Net production for the Barnett assets for the second quarter of fiscal 2022 were 285,761 BOE or 3,106 BOEs per day, which is about 25% lower than the first quarter. As I mentioned, earlier, the production of Barnett Shale was impacted by diversified energy's decision as the operator to maximize the overall field cash flow by capturing the most favorable commodity price. 06:34 Diversified adjusted production mix in both the second and the first quarters of 2022, which resulted in an adjustment being booked in the second quarter to true our past results. As a reminder, we purchased our non-rated interest in Barnett Shale in May of 2021. The acquisition materially increased our exposure to natural gas through the addition of another long-life low decline asset to our portfolio. 06:59 In addition, the transaction was particularly well timed considering the sharp increase that we have seen in natural prices over the past few months. Diversified began operating in the Barnett Sale asset as of July 2021, after purchasing their interest from Blackbeard Operating. 07:15 Based on our discussions, diversified is planning to run one workover rig continuously throughout the calendar of 2022. We look forward to participating with them in a number of high-rated return projects in the coming months and years. 07:30 During the second quarter, we once again generated operating cash flow in excess of capital expenditures, with supported payment of our 33rd consecutive quarterly cash dividend. 07:41 Given the continued improvement in our business and economic environment, we are pleased to declare a third quarter dividend of $0.10 per common share that will be paid on March 31 to shareholders of record of March 15. 07:54 Our third quarter dividend represents a 33% increase from our second quarter dividend of $0.75 per share. This was an important milestone returning our dividend of pre-pandemic levels. With the third quarter dividend Evolution would have paid out approximately 80 million or $2.50 per share, back to the shareholders as cash dividends since the program began in December 2013. 08:21 With that, I'll now turn the call back over to Ryan to discuss some of our financial highlights.
Ryan Stash: 08:25 Thanks, Jason. I'll now share some additional details regarding our financial results for the second quarter of fiscal 2022. Please refer to our press release from yesterday afternoon for additional information in details with some of the key highlights included. Adjusted EBITDA increased 20% to 10.2 million from 8.5 million in the first quarter of fiscal 2022. 08:45 Second quarter adjusted EBITDA was $22.32 on a per BOE basis, which is 41% higher than the first quarter. Now, excluding the impact of the adjustment related to the operator production mix changes in the Barnett Shale that Jason discussed, the second quarter adjusted EBITDA would have been $28.88 per BOE. We once again funded all operations development CapEx and dividends out of operating cash flow and we maintained our strong balance sheet with 13.6 million of cash on hand, less four million of debt, resulting in net cash of 9.6 million as of December 31. 09:23 As Jason mentioned, we paid a dividend of $0.75 per share for the second quarter marking the payment of our 33rd consecutive quarterly dividend. Also, as you mentioned supported by our solid operational and cash flow  , we increased – we declared increased distribution to $0.10 per share for shareholders of record on March 15, 2022 to be paid on March 31, 2022. 09:44 Working capital was 22 million at the end of our second quarter fiscal 2022. This was 6.4 million higher than our working capital at September 30, 2021 with 5.6 million of the increase due to our improved cash position. Our liquidity at December 31 was 49.6 million, which included 13.6 million of cash, and 36 million of availability in our credit facility. 10:08 As a reminder, on November 9, we amended our credit facility to reflect last year's acquisition of our Barnett Shale assets. The result was the redetermination of our borrowing base to 50 million, which was a 20 million increase from a previous borrowing base of 30 million, and we elected a 40 million commitment amount resulting in the availability I disclosed at 36 million. 10:30 As Jason will discuss in more detail in his closing comments, on January 14, we closed on a transaction to acquire non-operated assets in the Williston Basin in North Dakota for a total purchase price of 25.9 million net of preliminary purchase price adjustments. Funding for this acquisition was provided by cash on hand and a 16 million draw on our credit facility. 10:51 As a result, we currently have 20 million drawn on the credit facility, which includes the previously mentioned 4 million balance as we ended on December 31. Yesterday, we announced that we entered into definitive agreements to acquire non-operated natural gas assets from the Jonah Field in Wyoming. 11:08 The purchase price of this acquisition was 29.4 million subject to customary purchase price adjustments in closing conditions. We expect to fund this transaction with cash on hand and borrowings from our credit facility. Proforma for the closing of these two acquisitions, we expect that our net debt will be below our stated maximum leverage target of one-times proforma adjusted annual EBITDA. 11:33 Now, as we discussed on our last earnings call in November, the amended credit facility added a covenant where we must hedge certain percentage of future production based on utilization percentages outlined in the credit facility agreement. On February 7, we entered into the ninth amendment to our credit agreement that modified the definition of utilization percentage related to this required hedging covenant, such that for the purposes of determining the amount of production to hedge, utilization of our credit facility will be based on a calculated collateral value to the extent it exceeds the borrowing base than in effect. 12:06 Now, we currently estimate that this collateral value is approximately 125 million, which will result in the current utilization of 16%. However, as we have stated in the past, we would look to enter into hedges to protect the balance sheet if we took on debt for an acquisition. As a result of the debt related to the Williston acquisition, as part of the ninth amendment to the credit facility, we have agreed to entering the hedges covering 25% of our expected oil and gas production for a period of 12 months. 12:33 We still anticipate using primarily costless collars in order to retain upside to commodity prices. And we do continue to maintain our strategy of retaining exposure to commodity prices, which has benefited us recently. 12:45 However, as we utilize debt for potential acquisitions, we may look to hedge a portion of our incremental production to lock in cash flows, maintain compliance with our credit facility, ensure a quick paydown of any debt we may incur and protect our dividend. 12:58 Looking at our second quarter fiscal 2022 financials in more detail, we grew total revenue to 22.3 million, which was an 18% increase from the prior quarter. Oil revenue increased to 10.6 million, due to 12% higher sales volumes, primarily a result of the additional royalty income and production received from our Giddings field interest and also 6% increase in realized pricing. 13:20 NGL revenue decreased to 2.6 million, primarily due to the production mix adjustments made by the operator in the Barnett Shale that Jason previously discussed. These were designed to capitalize in the most favorable commodity prices and maximize overall cash flow. This helped drive natural gas revenue to 9.2 million for the second quarter. 13:41 LOE increased to 10.7 million in the second quarter. Contributing to the increase was $1 million in higher CO2 costs at Delhi compared to the prior quarter, primarily due to the suspension of CO2 purchases from July 15, 2021 to August 20, 2021 in order to perform preventive maintenance on the CO2 purchase pipeline. 14:00 In addition, oil prices increased from the prior quarter, leading to an increase in CO2 cost per Mcf, as the CO2 purchase price is based on and tied to the price of oil. The 1.1 million increase in other LOE was primarily a result of increased production in ad valorem taxes due to higher commodity prices. 14:19 Changes to estimates in the Barnett Shale, electrical costs at Hamilton Dome following injection well activation, and costs associated with repairs at the NGL plant in Delhi. Total LOE for the second quarter was $23.40 per BOE, compared with $16.05 per BOE in the prior quarter. However, excluding the impacts of the Barnett Shale adjustments, LOE would have been $21.22 per BOE. 14:43 General and administrative expenses were 1.8 million for the second quarter, compared to 1.9 for the prior quarter. This decrease was primarily due to lower salaries and benefits costs, which were partially offset by an approximate $100,000 increase in non-cash stock based compensation. 14:59 Net income for the second quarter grew to 6.8 million or $0.20 per share from 5.2 million or $0.16 per share in the previous quarter. However, when adjusting for the previously mentioned Barnett Shale changes in estimates, net income would have 7.3 million or $0.22 per share. 15:16 For the three months ended December 31, 2021, we invested 300,000 in CapEx, which were primarily associated with Delhi field capital maintenance activities. And we currently expect that operators at Delhi and Hamilton Dome will continue conformance workover projects and likely incur additional maintenance capital expenditures as oil prices remain strong. 15:37 As Jason discussed, at the Barnett Shale, we expect to see diversified continued to do work over rig work during calendar year 2022. Now based on discussions with the operators at Delhi, Hamilton Dome, and Barnett, we currently expect total CapEx for the remainder of fiscal year 2022 of 500,000 to 1.5 million. Additionally, for discussions with the operator of our recently acquired Williston Basin assets, we expect additional capital expenditures of 500,000 to 1 million during the remainder of our fiscal 2022. 16:07 So, with that, I will now turn the call back over to Jason for his closing remarks and a discussion of our recent acquisitions.
Jason Brown: 16:14 Thanks, Ryan. As we've discussed consistently in the past, maintaining and ultimately growing our common stock dividend remains our top priority. And as such, we continue to look for accretive acquisition opportunities. The meet our requirements of long life established production with disciplined growth opportunities, both of which support the value creation for our shareholders. 16:37 Over the last three weeks, we've announced two significant transactions to acquire additional non-operated oil and gas assets located in two prolific producing basins in the United States. This includes last month's announcement, an announcement that we closed on the acquisition of oil weighted assets in the Williston Basin of North Dakota. In this week's announcement that we've entered into a definitive agreement, acquired natural gas assets in the Jonah Field located in Sublette County of Wyoming. 17:08 If you are able to view the presentation on our website, we encourage you to reference it while I make some remarks. If you're unable to review the presentation at this time, we invite you to review it later and reach out with any questions that you might have. 17:23 In short, since late calendar of 2019 we've seen great success in our efforts to increase immediate and long-term cash generation for the benefit of our shareholders through strategic expansion of our geographic footprint of assets and production mix. 17:40 Directly as a result of the hard work of our dedicated employee team, I’m happy to report that over the last two years, we've increased both net daily production and PDP reserves by approximately 400%. Equally important, we've accomplished this without the growth in value creation without materially diluting shareholders or any owner's debt or a material increase to G&A. 18:09 So, let's look at the slide deck now going through a few slides of the acquisition. Slide 2 shows some disclaimers there that these are forward looking statements and it’s important to note that. 18:25 On Slide 3, this will look pretty familiar to you because it's part of our IR deck. It's important to us that we do what we say we're going to do, what we've been communicating and we're going to do and be consistent. 18:39 We look at these assets and they're both long life long lived and dominated by PDP value. That's what we feel like we bought them on. The Williston has upside, but – and so with Jonah, but the main point of what we focused on was the  . They're accretive immediately to cash flow, they support the dividend and kick off cash flow immediately. There's low ongoing capital requirements or investments. They're located in well-established basins with stable regulatory environments and takeaway capacity in their high margin. 19:18 Now, one thing that does look different and I will say this, I've said many times that we probably wouldn't be pursuing gas. They wasn't pretty close to the coast down here in Texas either on the  pipeline from Houston Ship Channel or on the carthage pipeline on East Texas coming down to Sabine Pass, thinking that that's where the prime markets are. But this is really good lesson, it was a good lesson for our team that our opinions aren't good enough, including mine, and we've got to be driven by the data, and I was happy to tell my team that I was wrong here. 19:50 We found a portion of coming out of Opal going west, where they're getting pretty good prices and we like that. We think there's premium access to markets up there and so we're happy to be willing to change if the data suggests that. So, I think that's important culture that we're building. Slide 4, I think this kind shows what we've been working on. It shows that we're starting to see results of our efforts. 20:18 Moving, diversifying a little bit away from Delhi it’s going to be a great asset that contributes to our dividends for multiple decades. And we all love Delhi, but we've also added on and added some diversity. And I think that's going to be important for the health and the strength and the security of our business and our dividends. 20:38 So, it's important to note on this, that this is a 6 to 1 ratio in terms of BOE. So, the oil, the gas, the gas assets show a little better on production in BOE wise. The oil assets that we purchased are still very valuable. It's important to note on the foundation that the 596 in production, we like that and we feel like we got a good buy on that, but we also have a tremendous amount of upside that really has us excited about that. 21:07 Slide 5, I think shows what we're trying to do here. We kind of started the upper left production. It shows this to be   right now, but we've got a nice commodity mix. We’ve got exposure to all three commodities. But if you move from production to reserves, because we've got now some upside locations that are more oily, we start to look really balanced in the 40% oil, 38% gas, 21% NGL. That's the kind of company that we want to put together. We feel like there's resilience there in commodity mix diversity. And  continuing over to the upper right, looking at , you know previously, we've been kind of high 90% of PDP. 21:53 We're now starting to get into some PUD, which is some opportunity in risk at differentiation. And that leads to the lower right where you've got showing some geographic diversity, which gives us some strength, different parts of the country, experience increases or hurricanes or different things. We're not all tied to one place or our concentration for our cash flows aren't in one place. 22:19 So, with that, you get a little bit of operator diversity. We learned with  doing very well right now, but a couple of years ago, they went through some financial situations where they couldn't spend the amount of money that we would have liked them to on our asset. And this gives us a little bit of diversity and security away from a concentration on a single operator. 22:42 So, let's take just a little bit deeper dive on Slide 6 into what we feel like is a tremendous amount of value kind of nestled in this Williston Basin acquisition. Now, we're not interested in becoming a big driller. We're not going to run of a bunch of CapEx spending. This for us was about optionality. And again, we feel like we bought this on a PDP type valuation and got a good purchase, but we really like having these options. 23:08 In the options are these wells that are held by production that are out there. Now, I think there’s 400 hundred locations. We will dovetail this into our reserves at the end of the year, our fiscal year in the summer in our reserves process, but so our company engineered reserves right now, we think probably there's about 150 of these locations that would pass the qualifications of being an SEC PUD proved reserves, that means they are kind of one space off of a drill producing well, but we don't really need that. 23:40 I think there's 40 something locations built. And so, we kind of the ones that we're calling PUD right now that we're thinking about internally are fifty locations, because to be a PUD, you've got to be able to drill it. They've got a five-year rule by the SEC. So, putting out a small program like there of a couple 5 well pads a year, 10 wells a year over a five year period that's fifty wells. 24:07 So, anything above that, we kind of call probable or possible. So, even though if you look at the reservoir calculation on – or the reserve calculation on the upper left hand side that , 4% of PDP, 15% represents at fifty and there's quite a bit more there. So, that collectively is about 9 million barrels. We think the potential out of here is around 50 million barrels. 24:32 So, there's a lot of upside here and we're not doing that to go and try to become a drilling company. Like I said, we're doing this – the type of assets that we buy are PDP heavy, long life flat. Sometimes those are fairly expensive in the acquisition process, you'd like to have an alternative when the bid asked gets a little too far apart to be able to put some capital work or in a situation where operators might be underperforming. So, we just feel like this provides some strength and security for our shareholders. 25:10 In 2027, 2030, these wells out there are going to go away. This is optionality and inventory for us many years down the road. Slide 7 shows the footprint. I think there's a couple key takeaways here. One is the relationship with Foundation. We're not often, we like being  , but we like this relationship with them. They're good operators. They’ve been operating up there in North Dakota. 25:33 And so if the chance for us to be a little bit closer, have more influence, have more collaboration working with them on developing this, now we do have the ability if they're focused on other areas and we want to drill well, we do have the ability to go out there and drilling. 25:51 They’ll drill force or we can contract people to drill it, but we can propose wells and that gives us a decent optionality like I said. Another thing to note over on the map, most of the acreage has been delineate. So, we're looking at more infill wells rather than step-out wells, which is the nature of Evolution. It feels like our company. 26:18 This is an 84% lease net revenue interest. So, it's a pretty high net. And again, the PDP was pretty attractive with an  of over 10 years. 26:30 I think, I'll skip Slide 8 as it's just a few more expansive comments of what I just made. A couple of comments about the Jonah Field on Slide 9. One you can see in the upper right hand corner, it's about 100 miles from our Hamilton Dome, we know this area and we look happy with Wyoming and the environment that those operate in, but this deal is just classic evolution. This is right in the middle of our fairway. 26:55 PDP, long life, stable regulatory, good markets and a good operator in Jonah operating. So, we expect to close this on April, and this is all 100% held by production. We don't anticipate any drilling here, might be some minor workovers and stuff, but again a decent R/P of 8.1. 27:17 The thing we really like about this was on Slide 10 and this is where I kind of admitted that my opinion was wrong, although it was rooted in some logic because on gas, you really got to watch midstream in marketing. It can be a killer in terms of cost. But if you look at this map on Slide 10, you'll see that OPAL here has some ability to go west and they've been receiving north of Henry Hub, a premium to Henry Hub. 27:45 So, just as a point of reference. Our Barnett is about $0.35, $0.36 under Henry Hub and they've been getting over Henry Hub up there. So, we're really excited about that going to future. So, I really think that the Jonah Field is going to be a great, it feels like Evolution is going to be great feel for us. 28:07 So, finally, on Slide 11, I just like to point out a couple of things. One, we had a 5% yield at $0.30. We released this before we had raised the dividend. So, right now, I think the stocks trading a little over $6. So, it's kind of moving up to $0.40 a year, $0.10 a quarter, somewhere around 6%. 28:26 And I think if you look at the bottom there, you've seen quite a bit of activity. We've moved into our revolver a little bit. As Ryan said, I don't think you'll see us continue that. I think you're going to see us digest a little bit, integrate these assets, and start paying down the debt. We feel like these two assets were strategic that we feel like they built a lot of security for our dividend and it was a big milestone, we feel like we turned a corner on a couple of hard years for the industry, and now we're looking forward back to $0.10 a quarter. And we're excited about the future. So, a couple of final comments before we turn it over to question. 29:16 So, I want to thank all of our employees for their hard work over the past two years as we transformed Evolution in a much stronger company. With a significant footprint and diversified assets, multiple prolific, producing key basins. 29:31 As important, I along with the full support of the board want to thank our shareholders for the continued support of our strategic long-term efforts. 29:40 With that, I think we're ready to take some questions. So, operator, if you'll open up the line, please.
Operator: 29:47 Certainly.  Your first question is coming from John Bair from Ascend Wealth Advisors. Your line is live.
John Bair: 30:18 Good afternoon, Jason and Ryan.
Ryan Stash: 30:22 Hey, John
Jason Brown: 30:23 Hey, John.
John Bair: 30:24 Thanks again on behalf of myself and clients for raising that dividend. You’ve been off quite a bit here. So, I got a few questions. What is the current rate on the credit facility, the interest rate?
Ryan Stash: 30:39 Yes. So, we're at 3%. So, it's LIBOR plus 2.75 versus 25 basis point floor. So, 3% even for the interest rate, which is pretty good.
John Bair: 30:52 Okay. And looking at the math on this, I mean, you looking to expand that credit facility now with the most recent acquisition announcement because doing the back of the envelope, it looks like with a large acquisition that you've got adding that on would take up that additional 20 million, am I missing something here?
Ryan Stash: 31:20 Well, so, yeah, a couple of points. One is, we actually had approval from first for up to 50 million, that's kind of their maximum level, so that's likely what we'll go back to, quite frankly. Beyond 50 million, it's an active debate, kind of talking about the board level. 31:39 We don't really feel like we need a lot of additional liquidity and we think as much cash flow as these that are going to be generating, and we're going to be able to pay down very quickly. So, we're certainly thinking about it, but I think going up to 50 million, which is comfortable from first and clearly comfortable for what our assets can support. We feel like it would give us plenty of liquidity given how much cash, free cash flow we expect to have.
John Bair: 32:00 Okay. And then looking at the two, the Jonah and the Williston acquisitions, it appears Jason, I think kind of underscored this, but it appears that there's probably going to be more activity going forward. And the Williston Asset as opposed to Jonah at this point, is that a fair statement?
Jason Brown: 32:21 Yes. No, I definitely think that's fair. Jonah is going to be limited to some mark overs and things like that more operational optimization, but I don't anticipate any drilling up there. It's fairly developed. Yes. They are different assets that way. That's where we like them together.
John Bair: 32:43 And also, I just wanted, I was looking at the slide deck on your Slide 6, under the probable possible, the third bullet point, says has proved undeveloped wells are drilled and put on production these locations would be reclassified approved undeveloped, is that a typo? Am I missing something on that?
Jason Brown: 33:04 No, it's just the nature of what classified as PUDs. Like I said, about 150 …
John Bair : 33:12 I mean if you bring them online wouldn’t they producing well?
Jason Brown: 33:19 Okay, well, let’s say that there's a PDP well, currently producing well, and then offset to that currently producing well. A location or two away they will classify as PUD currently. But the locations – there are three or four locations away or not classified as proved, their classified as probable, but as you drill a couple of these wells, then those other ones that are probable right now will become proved because they're closer to producing wells, if that makes sense. 33:52 So, right now, 150 of the 400 are within one or two locations of producing wells, which means they would be classified as a PUD right now. But as you continue to drill, more of those other remaining 250 wells or whatever will become proved. Does that make sense John?
John Bair: 34:17 I think so. I guess, if you're, if there are wells that are online and producing them, I guess…
Jason Brown: 34:28 No, those would definitely be PDP. But I'm saying that a lot of these probable or possible if as things get drilled closer to them, they'll go from probable to PUDs.
John Bair: 34:40 Yeah. Okay.
Ryan Stash: 34:42 I think you read  instead of the word these, just think about that that should be probable and possible as what I was referring to, right? So probable and possible locations would be .
John Bair: 34:51 So, is there a typo there, am I?
Jason Brown: 34:54 No.
Ryan Stash: 34:56 Well it's referring to the whole category of probable and possible, okay.
John Bair: 35:01 Okay. Maybe we can talk about that offline. Last quick question, and that is, Co2, are you – are they – is the operator  they continuing to ramp up CO2 injection and so forth or is that kind of stabilized at this point? And kind of how long do you think it might be or is there any guidance or thoughts on how long it might take to get that production back up to the levels? Was that before the Co2? They stopped inject in Co2? It was captured back that extra 10,000.
Jason Brown : 35:51 I think that in December, they were able to ramp up to 100 million, I think they're about 105 right now. I think they want to hold it there for quite a while. , in our discussions with Denbury, and then also D&M, our reserve partners, they're kind of seeing that as sort of a 24 months, 17 to 24 months forward, starting to rise up to previous projections. 36:17 I don't know that we'll get back to – before it went down, it was 5,600 barrels a day. We're right around 4,000 right now. So, I'm not sure, we don't expect it to get back to 5,600 in 24 months. We do expect to see the decline arrested. We've already started seeing that and then we would hope to seize kind of an increase. You got to realize we're also pulling out oil every day. So, we're fighting the natural decline on top of that. So, even arresting the current decline is making progress towards where it would have been. 36:52 But John, I think the best way for me to answer that is probably not going to get back to 5,600 barrels a day. That's  for just the oil, by the way, referencing. And we would expect it to take at least 18 to 24 months before it gets back to where we thought it would have been at that point.
John Bair: 37:14 Okay. Good. I'll get off now and let somebody else on. Thanks.
Jason Brown : 37:19 Thanks for the question.
John Bair: 37:20 I’ll follow-up with you. Yep. Thanks.
Jason Brown: 37:22 Sure.
Operator: 37:24 Thank you Your next question is coming from Leigh Curry from Curry Partners. Your line is live.
Leigh Curry: 37:31 Good morning, Jason and the guys there. Enjoyed the results. Tell me a little bit about – explain a little bit more on the optionality in the Williston, which is an attractive aspect of it to me. What has been the operator, what has been foundations level of expression de-risking here, what do you expect with them in the future? Do you have complete choice on going along or not going along with every well they drill tell a little bit more about what's going on there?
Jason Brown: 38:14 Very good questions. Leigh, I appreciate that because we're excited about what the inventory and the reserves does in terms of just security for the company. We didn't want to like imply like I said earlier that we're going to become some big driller outrunning CapEx. This is more about security. In terms of optionality, we have either one of us can propose wells foundation or us. 38:41 If we're in a position where we don't want to drill it, then they can take over our interest and drill our capacity. If they're in a position where they don't want to drill it, we can take up to 100% of a well. If we do that then the interest owners that don't participate in any particular well, don't lose that on any other wells, and they will be out of that particular well for a 300% penalty. 39:07 And right now on the tight curve that comes in about 19 years to 20 years, so effectively it means they're out of that well. So, we feel like we got a bunch of wells out there that we can go drill. If we want to regardless of their desire, 100% if we like to, but at the same time, we can't get drilled into the ground. We could just say no, and we don't lose any other opportunities other than that wellbore. 39:33 So, it's really a wonderful situation and most of them 85% of it being held by production. Again, I'm thinking in 2028 or 2030, I'm going to have things to do regardless. But the optionality for us really is, like I said, two-fold. I studied negotiated that  your best alternative to the negotiated agreement. A lot of these PDP packages the bid ask us to so rough sometimes that we don't want to overpay for things you can really do some damage to your balance sheet, and a lot of companies have done that. 40:11 And Evolution has had a great reputation for being physically disciplined. This allows us an alternative to that negotiation to go out and put some money to work if we need to, which is great.
Leigh Curry: 40:25 I love this. I love that element of optionality as you described it there, it sort of allows you, if I'm understanding this correctly, it allows you to utilize the off optionality and decent drilling of what could be a fabulous bunch of probable and possible there, only if and when you want to and without  foundation, because you're not going along to every well they produced, is that a correct analysis?
Jason Brown: 40:58 No, that's right. That's right. I mean, but they are the right kind of partner for us. They have LPs and they do their operations out of cash flow and they give distributions very much like us. We do think that of – out of cash flow and we give a dividend. So, with the right kind of partner, you don’t want a partner that’s just going to outspend cash flow around. So, anyway, but yeah, I think you're seeing all that right. We're super excited about it.
Leigh Curry: 41:25 How large of a market cap or revenue, how big of a company is foundation. So, I compared to you all.
Jason Brown: 41:31 The private, I think they are in fund 7, it's about 100 million, they've been around for 15, 20 years. So, they’re working on a fund date. So they've got assets in a number of different places and they've consistently bought and sold and – yeah.
Leigh Curry : 41:47 Okay. On Jonah, did you buy out a partner? Is that what Exaro is, did you buy out an existing partner?
Jason Brown: 41:58 That's right. That's right. Jonah Energy operates and they own the majority of it. Exaro was a private equity backed company. They've been successful in South Texas in a number of ways. I think that they wanted to get into that field and maybe buy a bigger piece and become an operator and Jonah was pretty dominating up there. 42:19 They wanted to sell out, I think that they're unwinding the company completely. It’s a really good position for them, but we feel like we kind of  on the ground there. And .
Leigh Curry: 42:29 This is even better because it was them selling and not Jonah selling?
Jason Brown : 42:34 Yeah, that's right. That's right. Jonah is a pretty good operator. We've been impressed with all that we've seen from them.
Leigh Curry: 42:43 I'm surprised or I just was ignorant of, I didn't realize that there were places in the middle of the United States that you were getting premium prices for gas versus the Gulf Coast. What's been the history of those price premiums? I mean, did it just develop lately or what? Give me a little history on that?
Jason Brown : 43:04 Well I think there's a little bit of a crunch of a lack of infrastructure development headed towards California in the West, right. There’s not a lot of new, there is no new pipelines going out there and it’s a same thing that’s happening up in Appalachia in Pennsylvania. So, there's a big pipeline coming down out of the Permian going West, but it's completely full and you can't really get any capacity coming down from the North through Washington from Canada. That's pretty much bottlenecked and full as well. 43:33 So, you've got Opal here that's just sitting there with some capacity and Exaro actually and we will as well take our gas and kind and they've got 5 or 6 buyers that are, sort of bidding on it. So, they've – we put in there that they've been averaging around $0.04 above Henry Hub, but it's average quite a bit, quite a bit higher than that. So, we anticipate that's going to be strong for a little while, we're pretty excited about that.
Leigh Curry: 44:04 All right. Well, I just want to say, I want to congratulate you on being patient and it looks like it's finally paid off for you, and I would say a job well done, Jason, and keep up the good work.
Jason Brown: 44:17 Thank you, Leigh. I sure appreciate that. Thanks for your interest.
Operator: 44:24 Thank you.  Your next question is coming from John Bair from Ascend Wealth Advisors. Your line is live.
John Bair: 44:45 Like the movie, I’m back, anyway. Kind of curious on a question on the getting royalties, what was the lag, the three year lag on that? Was those properties tied up in something and the royalties escrowed or just kind of curious on that?
Ryan Stash: 45:05 No, I mean, it's a great question. It was – so these are assets that I believe where I think originally owned product partner Chesapeake. Chesapeake was the operator and they are notoriously slow sometimes on these types of royalty payments. And I think they these over a wild horse, I think is where they originated from. And there are two wells that were drilled back in 2018 that sat in there  revenue expense for a couple of years where Chesapeake finally got around to clearing our suspense and obviously we weren’t aware of the time that they’re on, it was lands that we had sold years back and kept an override on. And so, we're now receiving consistent checks for them, certainly not the amount that we got in that one-time check for the three years, but was just situation  two wells drilled that they hadn't really done their land records well enough to know who all the royalty owners were.
John Bair: 45:56 And are those, you say those are still – those two wells are still in production and so you've got something come in from that on the…
Jason Brown: 46:04 Yes. There's so there's some cash though coming from those. It's not a huge  15,000 a month coming in from them.
Leigh Curry: 46:11 Okay. Alright. And then a little clarification on the Williston too, I think in the comments you were saying that estimates or CapEx of about 0.5 million to 1 million or through the fiscal year 2022. So, the next basically through the end of June, is that right?
Jason Brown : 46:30 Yeah. John, there was a little low hanging fruit, a few workers they’ve identified and some . There's a little bit of conventional river production up there and SKU production. So, these are vertical recompetes of 4, 5 workovers in May, I think that they're going to do. But any kind of real drilling in the Bakken of the Pronghorn is probably going to come in 2023.
John Bair: 46:57 And I would imagine that that's something that you're in, kind of having evaluated all this and closed on it, soon to close that kind of could we expect that CapEx might expand from what you are anticipating or what you put out in the press release and so forth. I guess some of that would probably depend upon prices staying up, kind of these levels, but am I thinking on the right direction here that maybe you might be a little more active in getting some wells down?
Jason Brown: 47:39 Well, we're going to put a lot of work in high grading locations and doing a lot of rock mechanic and geo work over the next six months, but I would say this, right now, it's an interesting situation where we are such a   I think at some point the backend the curve is, I guess the general markets feel a little more comfortable being on solid footing that the things aren't going to go back down into a pandemic or generally demand is going to be fairly consistent and growing. 48:13 The backend of that curve, I think we're anticipating is going to come up making everything a lot more expensive. So, it really comes down to when we get the high graded locations of things we would want to go do, like Ryan said, we're making a lot of cash flow. We got it and then decide what to do it. 48:29 Ryan and our job is to reinvest the capital and not just have a bunch of savings in the bank earning 0.5% interest, but reinvestment in activities. Now, is that an additional acquisition? Well, if we find one that fits our profile, that's properly priced, we'll put the money there instead of going drilling. If the back-end of the curve comes up and things become too expensive to buy then we’ll drill. Because they’re too expensive to buy that means prices are high, and anyway, so it really is that optionality. 49:01 I think that it wouldn't be necessarily a function of just CapEx going up, but more of a choice of the reinvestment, did we make more acquisitions that we put money into some wells. So, but yeah, I think we would anticipate we'd like the locations and I think we would anticipate .
John Bair: 49:17 Lot of variability and – previous caller and as you said, lot of optionality, pretty exciting. So, okay, thanks very much. I'll follow-up. Thanks for now.
Jason Brown: 49:27 Appreciate it John.
John Bair: 49:28 Thank you.
Operator: 49:31 Thank you.  Thank you. There are no further questions in the queue. I will now hand the conference back to our host for closing remarks. Please go ahead.
Jason Brown: 49:53 Well, we appreciate your time today and look forward to providing further updates on our business during our third quarter fiscal 2022 earnings call, that's going to be in early May. Please feel free to contact us with any other questions or comments. Thank you.
Operator: 50:12 Thank you, ladies and gentlemen. This concludes today's event. You may disconnect at this time, and have a wonderful day. Thank you for your participation.